Operator: Welcome to the Viad Corp Second Quarter Earnings Conference Call. At this time, all participants are in listen-only mode until the question-and-answer session of today’s conference. [Operator Instructions] This call is being recorded. If you have any objections, you may disconnect at this time. May I introduce your speaker for today, Carrie Long, please go ahead.
Carrie Long: Good afternoon and thank you for joining us for Viad’s 2019 second quarter earnings conference call. During the call, you’ll hear from Steve Moster, our President and CEO; and Ellen Ingersoll, our Chief Financial Officer. Certain statements made during this call, which are not historical facts, may constitute forward-looking statements. Information concerning business and other risk factors that could cause actual results to materially differ from those in the forward-looking statements can be found in our annual and quarterly reports filed with the SEC. We’ll be referring to certain non-GAAP measures during the call, including income or loss before other items, adjusted segment EBITDA and adjusted segment operating income or loss. Important disclosures regarding these measures, including reconciliation to net income or loss attributable to Viad, can be found in Table Two of our earnings press release, which is available on our website at www.viad.com. Now, I’ll turn the call over to Steve.
Steve Moster: Thank you, everyone, for joining us on today’s call. I’m happy to report that both of our businesses delivered strong growth during the second quarter, enabling us to generate income per share before other items of $1.44, which is up 20% year-over-year. And we continued to take actions to further our strategic goals at both businesses. Pursuit delivered second quarter revenue growth of 14.6% and strong adjusted segment EBITDA margins of 31.4%. Organic revenue growth at Pursuit of 10.3% was a little lower than our expectations heading into the quarter, primarily due to inclement weather that affected visitor counts at our Columbia Icefield Adventure and Maligne Lake Cruise attractions. Additionally, we saw lower visitation from select long-haul markets that weighed on our revenue growth at some of our attractions. That said, visitation from other global markets remain strong and we were able to drive same-store attractions revenue growth of 6.5% through our revenue management efforts as well as our enhanced food and beverage and retail offerings. Our same-store hospitality revenue growth was similarly strong with a healthy RevPAR increase of 4.9%. In addition to driving strong organic growth during the second quarter, we have accelerated our pace of investment in growth projects at Pursuit, that are aligned with our Refresh, Build, Buy strategy. On the Buy side of our strategy, we completed two acquisitions during the quarter that bolster our existing iconic location platforms. On June 8, we acquired a 60% controlling interest in Mountain Park Lodges, 7 hotel properties. These properties comprised 31% of the lodging market in Jasper National Park, with a total of 735 guestrooms that are ideally situated near three of our attractions. Bringing the Mountain Park Lodges properties into our Banff Jasper Collection will allow us to offer a compelling package of accommodations and activities for our guests in Jasper. We also see a meaningful opportunity to accelerate revenue growth at these properties through our revenue management and Refresh efforts. During May, we completed a nice tuck-in acquisition for our Glacier Park collection, with the purchase of the 27-room Belton Chalet. This historic property is located near the west entrance to Glacier National Park and close proximity to our existing West Glacier operations. The Belton Chalet was the first of Glacier’s magnificent Swiss-inspired hotels built by the Great Northern Railroad and is a perfect complement to our collection of majestic lodges in the region. On the Build front, we have several projects that have either recently completed or are in the process of being developed. In early June, we opened 36 new guest rooms at our Seward Windsong Lodge in Alaska. These new rooms are experiencing strong advance booking. And we’re having success packaging them with our nearby Kenai Fjord boat tour attraction. And on July 1, we successfully opened our new RV Park and cabin village in West Glacier, which is off to a strong start and receiving positive guest feedback. In Iceland, we’re nearing the completion of our new and much anticipated FlyOver Iceland attraction. We’ve been tracking for a July opening, but experienced some construction delays that are pushing the opening into August. We’re very excited about the opening of this groundbreaking attraction next month. Earlier today, we announced plans for a new FlyOver Canada location in Toronto. This will bring our flyover platform to a total of 4, including Vancouver, Reykjavik and Las Vegas. Through a competitive bid process run by Canada Lands Company, Pursuit won the rights to develop the new attraction near the base of Canada’s iconic CN Tower and Rogers Centre. This is an ideal location in the heart of Toronto’s Entertainment District. Toronto welcomes about 40 million visitors each year and this particular location sees about 8 million. We expect to open the new FlyOver Canada Toronto Experience in 2022. It will feature a new ride-film showcasing Canada’s most awe-inspiring sights and a beautiful new building that we fully expect will become an iconic landmark in the city. We expect to begin construction in 2020 with a total capital investment in the range of $50 million to $60 million, which includes the building. We’re also just announced plans for a new geothermal lagoon in Iceland, that we expect to open in 2021. Geothermal spas are a highlight, sought-after experience, for visitors in Iceland. Ours will be ideally situated on an ocean-front lot, just outside the Downtown Reykjavik with iconic views of the ocean and the President’s mansion. For a total investment of about $14 million, we acquired a 51% controlling stake in the Icelandic entity that will operate the new lagoon. Our non-controlling operating partner is also the developer and the owner of the lagoon property. Pursuit will manage all aspects of the guest experience, bringing our expertise in building and operating world-class attractions and hospitality experiences. We are very excited to add this new attraction to our collection of experiences. In summary, our pace of growth investments at Pursuit is accelerating with 5 transactions so far this year. We’re excited to bring these bucket-list experiences to our guests and we remain focused on expanding Pursuit’s iconic and high-margin travel experiences through our Refresh, Build, Buy framework and deliver enhanced value for our shareholders. Now, let me switch gears to GES. GES delivered second quarter revenue growth of 10% and improved EBITDA margins, with results that were near the higher end of our guidance range. We continue to drive growth in revenue from corporate clients and new business wins. Additionally, on the exhibition side of our business, we saw strong performance from our non-annual or rotating shows, and continued same-show growth across most industries sectors, which we believe bodes well for the industry as a whole. We did experience a small decline in our reported base same-show revenue for the quarter. This was expected and was the result of lower exhibitor participation at the two events, including one in the retail sector, where we continue to see softness. Our full-year outlook for base same-show growth remains unchanged at low-single-digits. Last quarter, I discussed how GES is pursuing a Simplify, Grow, Transform strategy to drive growth and margin expansion. Simplify reflects our focus on streamlining our business, reducing complexity, improving client satisfaction, making it easier for our teams to execute and lowering our cost to service clients. Grow reflects on our focus on driving incremental growth in priority areas, delivering new products and services in our core business as well as expanding into new lines of business. And Transform reflects our focus on modernizing and evolving GES into the preferred full-service provider for live events, with a greater focus on corporate brand marketers. I’m pleased with our progress thus far against this strategy. During the second quarter, we completed some strategic simplification actions at GES that will deliver annualized cost savings of about $8 million. We consolidated our Las Vegas operating facilities, bringing our shared services support group together with our operating business and we eliminated some positions within our exhibition business. On the Transform side, we continue to drive meaningful growth in our revenue from corporate brand marketers. During the second quarter, we worked with leading brands, including [Komatsu and REED] [ph], and we continue to win future business with new clients, including [Kormel] [ph]. Our work supporting these notable clients is a testament to the strength of our creative, strategic and execution capabilities in the live events space. Overall, GES is making great progress in 2019, and I’m confident in our strategic direction for the business. Before I turn it over to Ellen to cover our financial results in more detail, I want to highlight a positive development with respect to our negotiations with the Chicago Teamsters Local 727 Union. During our February call, we mentioned that we were working with the union leadership to finalize the terms of a new collective-bargaining agreement that would include or withdraw from the Central States Pension Plan. This defined benefit pension plan has been designated under the Pension Protection Act as being critical and declining funding status. I’m pleased to report that we recently reached an agreement with the union to withdraw from the Central States Plan and redirect future pension contributions to the new defined contribution plans. Given the underfunded status of the Central States Plan, we believe this change is in our collective best interest. And now, I will turn it over to Ellen. Ellen?
Ellen Ingersoll: Thanks, Steve. For the second quarter, we reported income before other items of $1.44 per share and revenue of $402.3 million. Adjusted segment EBITDA of $61.8 million and adjusted segment operating income of $47.3 million. On a GAAP basis, our income attributable to Viad was $0.67 per share, which included an after-tax, charge of $11.6 million related to our anticipated partial withdrawal from the Central States Pension Fund, and a restructuring charge of $3.3 million after-tax, primarily related to the simplification actions at GES that Steve discussed earlier. As compared to the 2018 second quarter, our consolidated revenue increased 10.6% or $38.6 million, adjusted segment EBITDA increased $7.6 million, adjusted segment operating results increased by $8.2 million and our income per share before other items increased by $0.24, reflecting strong growth at both businesses. Pursuit posted second quarter revenue of $55.4 million, adjusted segment EBITDA of $17.4 million and adjusted segment operating income of $12 million. As compared to the 2018 quarter, revenue was up $7.1 million. On an organic basis, which excludes the Mountain Park Lodges and Belton Chalet acquisitions and unfavorable exchange rate variances, revenue increased $5 million or 10.3%. This growth was driven mainly by strong performance from our refreshed food and beverage operations, our ongoing revenue management efforts across our collection of hospitality and attraction assets and the reopening of our Mount Royal Hotel. As shown in our earnings press release, we did see a slight drop in our same-store attractions visitors’ metric during the quarter. This was driven primarily by early season weather-related closures at the Columbia Icefield and Maligne Lake. We also experienced lower visitation from select long-haul markets that may persist over the balance of the year. Despite these initial headwinds, we were still able to drive revenue growth at all of our attractions through dynamic pricing and increased ancillary revenue that resulted in increased revenue per attraction visitor of 9.5%. Notably, our refreshed Banff Gondola continues to experience growth and visitation and higher revenue per visitor, both from ticket price and from our food and beverage offerings. We also experienced strong growth at Kenai Fjords tour attraction, driven in part by our efforts to package it with our newly opened rooms at the Seward Windsong Lodge. The acquisitions of Mountain Park Lodges and the Belton Chalet contributed revenue of $3 million during the quarter. Pursuit’s adjusted segment EBITDA and adjusted segment operating income both increased by $2 million versus the 2018 second quarter. This growth was primarily driven by the acquisitions, which contributed adjusted segment EBITDA of $1.9 million and adjusted segment operating income of $1.6 million during the quarter. GES posted total revenue of $346.9 million, adjusted segment EBITDA of $44.3 million and adjusted segment operating income of $35.3 million for the second quarter. As compared to the 2018 quarter, revenue increased $31.5 million. On an organic basis, which excludes the impact of unfavorable exchange rate variances, the revenue increase was $35.5 million or 11.3%. Organic revenue for the North America segment increased $23.5 million primarily due to continued growth from our corporate clients, new business wins and positive share rotation of approximately $7 million. And in May, organic revenue increased $12.1 million or 19.9%, primarily due to positive share rotation of approximately $12 million. GES’s total adjusted segment EBITDA and adjusted segment operating income improved by approximately $6 million and $6.2 million, respectively, from the 2018 quarter. These increases were primarily driven by higher revenue and savings associated with our restructuring actions, partially offset by the timing of certain expenses within the EMEA segments. Now I’ll cover some cash flow and balance sheet items before discussing 2019 guidance. Our consolidated cash flow from operations was $31.4 million for the 2019 second quarter versus $34.9 million for the 2018 quarter. Capital expenditures totaled $27 million for the quarter versus $21.5 million for the 2018 quarter. The increase was primarily due to a higher level of growth capital projects this year. During the quarter, we acquired Mountain Park Lodges for approximately $76 million and the Belton Chalet for approximately $3 million. At June 30, our cash and cash equivalents totaled $45.6 million, our debt was $326.6 million and our debt to capital ratio was 39.3%. And now moving on to guidance. We have updated our full year outlook to reflect additional revenue and profits from the acquisitions at Pursuit, partially offset by later than previously anticipated opening of FlyOver Iceland and revised outlook for group visitation for select long-haul markets. The net effect of these changes is an increase in our adjusted segment EBITDA guidance of about $7 million. We have previously been expecting our consolidated adjusted segment EBITDA to be in the range of $152.5 million to $158.5 million. We now expect it to be in the range of $159 million to $166 million as compared to $146.3 million in 2018. We expect the acquisitions of Mountain Park Lodges and the Belton Chalet to contribute revenue of $17 million to $19 million, with adjusted segment EBITDA of about $9 million to $10 million and adjusted segment operating income of about $5 million to $6 million. We expect another $11 million to $13 million of revenue growth from various organic growth projects at Pursuit and mid-single-digit revenue growth across the rest of Pursuit’s assets. Overall, we expect Pursuit’s full year revenue and adjusted segment EBITDA to grow by more than 20% year-over-year. Our full year guidance for GES remains unchanged. We expect our full year cash flow from operations to be in the range of $115 million to $125 million, and we expect capital expenditures to be in the range of $90 million to $95 million, which includes approximately $45 million of growth CapEx at Pursuit and about $10 million of growth CapEx at GES. For the third quarter, we expect our income before other items to be in the range of $1.58 to $1.73 per share as compared to $1.72 per share in the 2018 quarter. This outlook reflects strong growth at Pursuit. For Pursuit, we expect third quarter revenue to be in the range of $135 million to $140 million, up from $112.1 million during the 2018 quarter. This growth reflects $11 million to $13 million from the Mountain Park Lodges and Belton Chalet acquisitions and the investments that we have made to enhance and grow our collection of hotels and attractions, including the new West Glacier RV Park in FlyOver Iceland. We expect adjusted segment operating income to be in the range of $68 million to $71 million as compared to $55.8 million in the prior year quarter, primarily reflecting higher revenue from acquisitions, organic growth projects and our revenue management efforts. For GES, we expect third quarter revenue to be in the range of $215 million to $230 million as compared to $246.1 million in the 2018 quarter. We expect this decrease to be primarily driven by negative share rotation of about $45 million, partially offset by new business wins. We expect GES’ third quarter adjusted segment operating income to decrease by approximately $12 million to $15 million, primarily due to lower revenue and higher performance-based incentives, partially offset by savings from second quarter restructuring actions. You can find the additional 2019 guidance in our earnings press release. And with that, I’ll turn it back to Steve.
Steve Moster: Thanks, Ellen. In closing, we’re encouraged by the solid financial performance at both GES and Pursuit so far this year. Our teams are working hard to drive profitable growth this year and into the future. Importantly, we’re accelerating our pace of growth investments at Pursuit with 5 transactions completed this year. And we’ve taken steps to streamline GES’ cost structure that will yield meaningful annualized savings. I’m excited about what we’ve accomplished and the new growth opportunities that we are actively pursuing. I want to thank the entire Viad team for their dedication to driving long-term shareholder value. And with that, let’s open up the call for questions. Jenny, can you please open up the call?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Tyler. Your line is open.
Tyler Batory: Yeah, hi, Tyler Batory here from Janney Capital Markets. Thanks for taking the questions. Just a couple for me and I wanted to start on the Pursuit side of things. You talked about the long-haul market visitation being a little bit soft. Can you provide a little bit more detail about what might be going on there? Is that more of a macro-issue or how should we think about that? And then, what level of visibility do have into that segment for the third quarter?
Steve Moster: Yeah, Tyler, thanks for the question. The impact that we saw is really narrowed into a couple of geographies. And what I would say is the other global markets are – other global destinations or markets are performing quite well for us from a long-haul perspective. And we see a little bit of that in Q2, but there was really some weather, inclement climate, that really kept some of our attractions in the Banff Jasper Collection with lower passengers in the quarter.
Tyler Batory: Okay. Got it, that makes sense. And just on the guidance for Pursuit, I think last quarter you were looking for $15 million to $17 million incremental revenue from growth projects. Now, I think you’re $11 million to $13 million. And is that all Iceland related from FlyOver? Is there any other projects that have slipped?
Ellen Ingersoll: It’s mostly Iceland, but there are a couple other projects that had a little bit longer construction time. One being the FlyOver Canada Hangar, but it is mostly Iceland moving into August.
Tyler Batory: Okay, okay. That makes sense. And also, I want to ask a little bit on the revenue management in Pursuit, obviously, the revenue per visitor metrics were up nicely. Can you provide a little bit more details on what exactly you guys are doing to drive that?
Steve Moster: We continue to focus on a couple of different levers. The first is obviously the effect of ticket price and using dynamic pricing throughout the course of the season, but also from day to day and hour to hour. So we’re doing a better job of harnessing the data that we have in order to have better yields from an effective ticket price perspective. The second lever is, over the last several years, we have significantly improved the overall food and beverage as well as retail offering that we have at many of our attractions. And that has had a significant impact on the total revenue per pack.
Tyler Batory: Okay. Got it. Thank you. And then, I also want to ask about the FlyOver Toronto announcement and then the lagoon that’s coming in Iceland. Can you provide a little bit more detail, specifically for Toronto, behind how big that attraction might be versus some of the other FlyOver concepts that you have out there? And any other color if you could provide, maybe potential returns that you’re going to have in these two projects. I know it’s a little bit early in the process, but I’m trying to judge some of the incremental growth that you guys might see once these two projects open up?
Steve Moster: Sure. We’re very excited about both of these new experiences coming into the Pursuit portfolio. In terms of FlyOver Canada Toronto experience, given the size of the market, this is going to be a similar size attraction to the FlyOver Las Vegas. So, it will be close to an 80-seat theater and it’s an ideal location right at the base of CN Tower. That corridor, that Entertainment District there, just has phenomenal tourism and visitations to the area. So we’re very excited about that. Again, FlyOver Toronto will open in 2022. And then you mentioned the geothermal lagoon that we’re building in Iceland, that we’ve partnered with a local partner to manage that. We’re very excited. That’s one of the all-season attractions that can happen in Iceland. There are some – it’s a great opportunity for us to build a new attraction in an exciting market that’s been growing pretty significantly recently. So we’re excited about both. In terms of returns that you mentioned, what I can say is that they are strong returns. They are clearly above our normal threshold, which is 15% IRR that we have for any investment, whether it’s internal or external. We feel like both of these opportunities are great wins in Pursuit’s corner.
Tyler Batory: Okay, great. That’s helpful. And then, just this last question for me, given some of the acquisitions in the Pursuit side of things, you’re approaching that $250 million revenue target. Just any updated thoughts on how you might be thinking about potential strategic options?
Steve Moster: We are approaching some of our targets that we’ve laid out there. Right now, the team is very focused on continuing to pursue the growth strategy and find more opportunities like the two we announced today. The Board and the management team do have conversations about the best way to create shareholder value. And we’ll continue to do that.
Tyler Batory: Okay, great. That’s all for me. Thank you.
Steve Moster: Thanks, Tyler.
Operator: Our next question comes from Kartik Mehta. Your line is open.
Unidentified Analyst: Hi, this is [Baso] [ph] calling for Kartik. How are you doing today?
Steve Moster: I’m doing well. How are you?
Unidentified Analyst: Good, can’t complain. I just had a few questions. First question about the GES, I just want to ask your opinion about like general picture, because we were looking – we were tracking the fundamentals of the trade show rotation. And I was wondering what you think going to 2020, how should we take a look at that?
Steve Moster: In terms of share rotation for 2020, we’ve had some conversation on prior calls and we’re estimating around $100 million of incremental revenue. And the flow through on that revenue is relatively strong, so it’s in the 30% range flow through for that incremental revenue. We’re excited about the opportunity to work on these significant events in 2020 and the team’s ready to execute on it.
Unidentified Analyst: Okay. That’s great. And these things, like, square footage per show and attendance per show is going to continue to grow go into 2020?
Steve Moster: Yeah. We think that – what we’ve seen so far and what we’ve forecasted for 2019 is that our base same-show growth would be low-single-digits. And that’s our revenue on those events. So there’s three primary ways that our revenue increases. The first is that we have normal price increases through our contracts with our clients. The second is that the overall size of the event increases, because a lot of our revenue is strongly correlated to the size of the event. And then the third is that we have an ability to sell more products and services into that base of exhibitors that are attending the event, and that drives our revenue as well. So those are kind of the three drivers of same-show growth. And what we’ve seen is that it’s been positive on an annual basis for the last several years. We expect that to continue into 2020.
Unidentified Analyst: That’s great. My last question, I just want to ask you, the last two acquisitions – the last acquisition you’ve done with Pursuit, you have taken the option of partnering with someone, do you expect to continue with the same approach going forward or is it just for the last two?
Steve Moster: Yeah. It really depends on the opportunity, to be honest. In some locations, like the Geothermal Lagoon in Iceland, we were introduced to a party that already selected the property, they had rights to the property, they had kind of developed some of the concepts. We have been able to provide and we were selected by them to provide our expertise in creating really unique experiences. And so it worked out for us very well in Iceland. And in other places like FlyOver Toronto, that’s one that we’re doing it on our own. Obviously, Canada Lands Company owns the property or the land that we’re on, but we’re doing the construction and the intellectual property, like the film and other things, we’re doing that on our own. So it’s really going to determine – it’s really going to depend on the opportunities that are presented to us. And in some cases, when we deal with partners, we’re able to accelerate in certain areas.
Unidentified Analyst: Okay. That’s great. Thank you so much for taking my questions.
Steve Moster: Thank you.
Operator: Thank you. Our next question comes from Steve O’Hara. Your line is open.
Stephen O’Hara: Hi, good afternoon. Can you hear me?
Steve Moster: Yeah.
Stephen O’Hara: I guess, first, can you just talk about the group visitation that you had mentioned? Is that a certain group, certain area? Or just – and what do you think might cause that to continue or alleviate the issue?
Steve Moster: Yeah. I mean, it’s we located to a couple geographies in Asia that we’ve seen weaker demand or softer demand from in the second quarter. And it really, Steve, impacts or shows up in certain attractions more than others, because if you think about the world of visitation, some are in individual or independent travelers and some come with a travel trade group. Our attractions like the ice fields has a strong percentage of travel trade versus something like the Gondola, which has a lower percentage and is less impacted by the trend that we’re seeing. So it’s really showing up in a couple of places, but we also – I want to stress the fact that we had inclement weather in the area during the second quarter, I think on June 2 or 3, it actually snowed in Banff, which I think surprised everybody. But we’re also seeing – I want to counter punch that with the fact that overall we’re still seeing a 10% growth in the revenue per pack. So we’re still seeing strong growth overall. We have just noticed this little softness and wanted to call it out.
Stephen O’Hara: Okay. Okay. I mean is this related to – or is this related to kind of China-Canada tensions? Is that your...
Steve Moster: No. It can be a number of things, whether it’s political or economic. But it’s there’s tensions on a number of different routes, and you can pick one. It could be a number of different factors, but I think all of those has some contributing impact.
Stephen O’Hara: Okay. And just on I guess going back to the FlyOver in Toronto, is this going to be the same film that’s used in the Vancouver attraction or...
Steve Moster: We’re actually developing a new film for FlyOver Canada. And as we have in our other ones like Iceland and what we’ll we do for Las Vegas, we’re very excited to show all of the awe inspiring locations throughout Canada. And so it’ll be a completely new film and a completely new experience.
Stephen O’Hara: Okay. Okay. And then just on the CapEx, it looks like CapEx for Pursuit came down a little bit. Was that – it that related to, I guess, what’s that – why is that given kind of the investments you’re talking about and things like that?
Ellen Ingersoll: We adjusted our expectations on CapEx for FlyOver Las Vegas. So we originally had about $20 million, we brought it down to $15 million. So we’re just starting with FlyOver Las Vegas. And we had some items in December that we think are really going to push over to January now. So it was FlyOver Las Vegas was the $5 million.
Stephen O’Hara: Okay. And then maybe just lastly, can you just – for 2020 CapEx, can you give us kind of a range in how we should be thinking about that with kind of all the new investments and things like that or maybe a starting point with maintenance CapEx and then maybe the growth projects you have planned right now?
Ellen Ingersoll: Yeah. The maintenance CapEx is going to be what we typically see 2% on GES and around 8% for Pursuit. But I can’t really give you a range on the growth projects right now. We don’t – I mean, there’s several things in flight and then also there are things that we had just announced we need to come up with estimates on that as well. So that’s not available right now. But the maintenance CapEx would be pretty typical.
Stephen O’Hara: Okay. And then just lastly, is the party in Iceland the same as the party with FlyOver Iceland?
Steve Moster: It’s not. It’s a different party. We’re very excited to partner with them. And as I mentioned on the call, they will be developing the attraction and we are the 51% operator of that attraction.
Stephen O’Hara: Okay. All right. Thank you very much.
Steve Moster: Thanks, Steve.
Operator: Thank you. No questions at this time. [Operator Instructions] There are no questions at this time.
Steve Moster: Thanks, Jenny. Okay. Thanks, everybody, for your questions and your interest in Viad, we look forward to speaking with you again next quarter. Goodbye.
Operator: Thank you. And that concludes today’s conference. Thank you for your participation. You may now disconnect.